Sun Life Financial Inc. (NYSE:SLF):
Q4 2009 Earnings Call:
Executives: Paul Petrelli - Vice President of Investor Relations Donald A. Stewart - Chief Executive Officer Jon A. Boscia – President Dean A. Connor - Chief Operating Officer Colm J. Freyne - Executive Vice-President and Chief Financial Officer Stephen C. Peacher - Chief Investment Officer Michael P. Stramaglia - Executive Vice-President and Chief Risk Officer Leslie Thomson
Analysts: Steve Theriault - Bank of America Merrill Lynch John Reucassel - BMO Capital Market. Michael Goldberg - Desjardins Securities Eric Berg - Barclays Capital André-Philippe Hardy - RBC Capital Markets Mario Mendonca - Genuity Capital Markets Robert Sedran - National Bank Financial Doug Young - TD Newcrest Darko Mihelic - Cormark Securities
Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Sun Life Financial Q4 2009 Conference Call. (Operator Instructions). I would like to remind everyone that this conference call is being recorded today, February 11, 2010 at 10 AM Eastern Time. I'd now turn the conference over to Mr. Paul Petrelli, Vice President of Investor Relations. Please go ahead sir. 
Paul Petrelli: Thank you, operator, and good morning everyone. I'd like to start by introducing the members of the management team present for today's call. Providing you with some preliminary prepared remarks, we have Don Stewart, Chief Executive Officer of Sun Life Financial, Jon Boscia, President, Sun Life Financial, Dean Connor, Chief Operating Officer, Sun Life Financial and Colm Freyne, Executive Vice-President and Chief Financial Officer. Also available to answer your questions are other members of the management including our Chief Investment Officer, Steve Peacher. As many of you know, while the primary purpose of our call today is to update equity analysts and investors on our results and answer their questions, our audience also includes media, industry peers, rating agencies, our regulators, our employees and our distributors. And, we welcome them. The slides to which the speakers will be referring are available on the Sun Life Financial website. Turning to slide two, I draw your attention to the cautionary language regarding use of non-GAAP financial measures and forward-looking statements, which form part of this morning’s remarks. This slide reviews the reasons why forward-looking statements could be rendered inaccurate by subsequently events. And with that, I will turn things over to Don.
Donald Stewart: Thank you, Paul, and good morning. Earlier today, Sun Life reported earnings for the fourth quarter of 2009. The company reported net income attributable to common shareholders of 296 million for the quarter. But these results were an improvement compared to the same period a year ago and to the previous quarter.  Our net income was impacted by continued weakness in credit markets, in particular the United States commercial mortgage sector. Looking back at 2009, the diversification across products distribution and geographies has allowed our businesses to continue to execute our new strategies. We delivered solid top line growth despite weak economic conditions. Total company premiums and deposits grew by 59% over the fourth quarter of 2008. Before I turn the call over to Colm Freyne, Dean Connor and Jon Boscia, who will review the financial and operational results in more detail, I would speak to several highlights from the quarter. In Canada, our business has continued to deliver strong and consistent performance with meaningful sale increases across most product lines. In the U.S we made significant strides during the fourth quarter and indeed throughout 2009 to strengthen our distribution capabilities and build name recognition.  Sun Life’s strength and stability has been a distinct advantage in building our operations. Strong relative performance and expanded distribution drove record sales growth at MFS Investment Management. In Asia fourth quarter sales increased 16% compared to the previous period and we see a continuation of economic growth across the region. Looking ahead to 2010, we see signs of improvement in the world economy. The international monetary fund predicts global economic growth this year of 3.9%. However, credit markets are still feeling the effects of the worse recessionary period in 60 years and recovery in markets such as the United States continues to be fragile. In addition, the regulatory environment is expected to evolve as governments and regulators work to develop an appropriate level of financial regulation. Capital guidelines for financial services companies are also under review although the precise impact on life insurers will not be known for some time.  The fundamentals of our business are sound and we continue to see opportunities to capitalize on key demographic plans. We are reaching out to serve new customers as well as building on our existing relationships with millions of customers around the world. Before I turn it over to Colm, I am pleased to announce that the Sun Life Board of Directors has approved a quarterly shareholder dividend of $0.36 per common share, maintaining the same level as the previous quarter. I now ask our Chief Financial Officer, Colm Freyne to review our fourth quarter results in more detail.
Colm Freyne: Thank you Don and good morning. Turning to slide six, earnings for the fourth quarter were 296 million or $0.52 per share. The favorable impact of equity markets in the quarter was more than offset by the impact of both investment down grades and impairments on mortgage investments.  Moving now to slide seven, in the third quarter of 2009, we provided you with our estimated 2010 normalized earnings. From this point forward, we are replacing this term with estimated 2010 adjusted earnings from operations. Although the estimated earnings pertained to the full year of 2010, on slide seven, we have provided a reconciliation of fourth quarter earnings.  It is important to note that this reconciliation is based upon attribution of market and other impacts in the quarter is a non-GAAP measure. The assumptions and methodology for estimated 2010 adjusted earnings from operations as described in detail in the Q4 earnings press release remained unchanged from the third quarter of 2009. Credit and tax items were the most significant impacts on earnings this quarter and I will address credit in more detail on the following slide. The estimated adjusted earnings from operations of $344 million are on an annualized basis, at the low end of the 1.4 to $1.7 billion range we provided last quarter due to a number of factors. First the level of new business train was higher in the quarter, mainly due to the higher sales in the U.S, individual life. Additionally earnings on surplus continued to be reduced by our higher than normal liquidity position. We have been reinvesting over the course the quarter, however the focus has been on redeploying assets from portfolio rebalancing activity. While it will take some time, we expect to continue to invest at a measured pace throughout 2010. The number of tax related items impacted results in the quarter, including the benefit of tax rate reductions enacted in Ontario, higher tax-exempt investment income and the resolution of a number of uncertain tax positions.  Slide 8 provides more detail on the credit impacts to the overall results of the company. Charges relate to net asset impairments and other credible offers totaled $184 million for the quarter. Ratings deterioration in structured products continued at an elevated pace in the fourth quarter. Downgrades in the quarter resulted in $92 million of reserve strengthening. Net impairments primarily in our structured asset and commercial mortgage portfolios amounted to $92 million after tax. Although there are some encouraging signs of recovery in the economy, the commercial and residential real estate sectors continue to face challenges. Because of this we expect the impact of credit conditions on our commercial mortgage portfolio to be a headwind in 2010 and we have taken a sectoral provision of $34 million after tax in anticipation of deteriorating performance in parts of our direct commercial mortgage portfolio in the U.S. This amount is included in the $92 million previously mentioned. Looking at the invested asset portfolio as a whole gross unrealized loses on available for sale and held-for-trading bonds improved marginally to $0.4 billion and $2.4 billion respectively in the quarter from $0.5 and $2.7 billion respectively at Q3. Further information on our invested assets can be found in the appendix to the slide.  Turning now to slide 9, SLF Canada reported net income for the quarter of $243 million, an improvement over the loss of $55 million reported a year ago. Earnings in the fourth quarter benefited from the impact of strong equity market experience, rising interest rates and tax benefits from tax rate reduction enacted in Ontario and higher levels of tax-exempt income. In the U.S. we reported a loss of $9 million compared to a loss of $679 million a year ago. Results were driven by downgrades in the net credit impairments. Earnings from MFS were $49 million, up from $30 million a year ago. Assets under management increased to U.S $187 billion, a 12 months high. MFS held the line on expenses and margins were solid at 29%. Earnings from our Asian operations were $27 million, an improvement over the $16 million reported in the fourth quarter a year ago. Our U.K. operations reported net income of $9 million, down from the $40 million a year ago, reflecting the effect of changes in equity markets and interest rates on hedging instruments. We close the Lincoln U.K. acquisition in the quarter and we look forward to the positive impact of the acquisition on our 2010 results. Moving to premiums and deposits on slide 10, you can see that our top line grew very significantly in the quarter. Total premiums and deposits grew by 59% on a constant currency basis. An important contributor to the strong top line results is MFS were superior fund performance and expanded distribution capabilities continue to translate into higher sales levels. Analyzing premiums and deposits from a constant currency basis, life and health premiums and deposits were up 7% mainly due to sales in the U.S individual life business. Mutual fund deposits increased 62% and positive retail stores at MFS. Other wealth products including U.S variable annuity sales grew by 18%. Managed fund sales which represent institutional sales at MFS and McLean Budden were exceptionally strong growing by a 133% over the same period last year due to a number of new, large institutional mandates at MFS. By the value of new business for the last 12 months at $521 million is down from the $712 million at the end of Q4 2008. Product changes made in both Canada and the U.S have resulted in an improved level of VNB for the fourth quarter of 2009 on a sequential basis. Looking at our capital position on slide 11, you can see Sun Life remains well capitalized with a minimum continuing capital and surplus requirement ratio for Sun Life Insurance Company of Canada at 221%. At our U.S operating subsidiary Sun Life U.S, impairments and downgrades in the investment portfolio are expected to result in the need to inject additional capital. Following the capital injection, the U.S subsidiaries risk based capital ratio was expected to be at the high end of our target range of 300% to 350%. Capital requirements for financial institutions are currently under review and we're monitoring developments closely. It remains difficult to predict the extent and timing of future changes at this time. Looking ahead on slide 12, in Q3 we provided the 2010 estimated adjusted earnings from operations in the range of $1.4 to $1.7 billion. A number of factors including the uncertain economic conditions, the absence of share repurchases as we replenish capital and the uncertainty about future capital requirements have resulted in an update to our previously disclosed return on equity estimates. Our objective over the medium term is to achieve an operating return on equity of 12% to 14% over a three to five year period. We will continue to focus on maintaining a strong capital position and effectively deploying our capital. The company expects to maintain the current level of dividends, which are subject to the approval of the Board of Directors each quarter provided that economic conditions and the company’s results allow it to do so while maintaining a strong capital position. It is now my pleasure to turn the call over Dean Connor.
Dean Connor: Thanks Colm and good morning. I’ll be addressing our business results for SLF Canada and MFS. I’m pleased to report that our Canadian operations delivered another strong quarter, net income of $243 million was a significant improvement over the loss of $55 million experienced in the fourth quarter of 2008. Full year earnings for SLF Canada were $866 million compared to $645 million for 2008. Individual insurance sales in the fourth quarter grew 13% reflecting strength in both our Sun Life Advisor sales force and independent wholesale distribution channels. We logged another successful year of growth in our sales force with a net gain of 60 for the year. We continue to execute on our strategy of shifting to a more profitable sales mix and in December increased prices for our Sun Limited, a universal life product in response to the lower interest rate environment. In individual wealth, segregated fund sales declined year-over-year by 35% stabilizing at third quarter levels at $34 million per week. Sales of fixed income products including GICs, accumulation annuities, structure settlements, and payout annuities increased 58% year-over-year to $255 million. In the fourth quarter, we launched a competitive non-redeemable GIC and introduced our accumulation annuities and redeemable GIC to the wholesale channel. We also announced a new partnership with National Bank of Canada, our crew of sales force advisors will now be able to refer clients for RRSP loans, mortgages and an all-in-one product with improved clients and advisor experience. Moving to group benefits, our sales in the small and mid-sized corporate accounts market, an area of strategic focus grew 30% in the quarter. Overall group benefit sales declined 45% in the quarter due to some large sales in Q4 of the prior year and for the full year, group benefit sales increased by 29% to $331 million advancing our market share once again. Business in [forest] grew 6% from $6.5 billion to $6.9 billion of annual premium. Group retirement services had another strong quarter with gross sales up 58%. As reported by LIMRA for year-to-date Q3 09' GRS continued to lead in the defined contribution industry capturing 41% of total DC market activity and 37% of payout annuity activity. In January we launched an innovative new solution that provides GRS plan members with a predictable lifetime income as they approach retirement. This is a simplified GMWB benefit that responds to the needs expressed by our GRS clients and their members, it's called "my money for life." One year ago we created a direct distribution channel in Canada brining together pension rollover, direct sales in specialty markets. Direct distribution had a successful first year. Pension rollover sales grew by 33% to $259 million with 56% retention rate for the quarter. The retention rate for the full year was a record 51%. Our new group life and health rollover product, launched last February, exceeded expectations with $4.5 million of premium sold in its first 11 months. This product allows departing members of our group benefit plans convert their company life and health insurance to a personal policy all over the phone or to speak to a Sun Life advisor for more detailed advice. Expenses for Canada were up 6% in the quarter, 5% from one-time items. For the year expenses declined by $13 million or about 1%, marking another year of significant productivity gain for our Canadian operations. Moving to slide 15, you can see that the strong momentum at MFS continued into the fourth quarter. Earnings for U.S, $47 million, an increase from the $25 million reported a year ago. Strong relative investment performance at MFS resulted in impressive positive net flows of $6.1 billion in the quarter including $2.2 billion of net retail flows. Gross sales in the fourth quarter of $15 billion and annual gross sales of $48.5 billion were the highest in the company's 86-year history. Net flows finished the year at just under $19 billion. And expressed as a percentage of the underlying assets, this would put MFS at or near the top of the industry. Assets under management increased to $187 billion, up 40% from the prior year. MFS’s retail fund performance remains strong, with 83% of fund assets ranked in the top half of their respective Lipper categories based on three-year performance. Performance in the global international equity style has been especially strong with 97% of fund assets ranking in the top half of their three and five year Lipper averages at the end of 2009. And last month in recognition of this excellent performance, Edward Jones added MFS to it’s preferred family of funds list. MFS continued to build its institutional business, which now represents 58% of assets, up from 28% of assets a decade ago. This comes from the firm’s truly global investment platform and it’s strong culture and uniquely positions MFS to capture an increasing share of the estimated $23 trillion global pension market and to continue to be a solid contributor to the overall results of the company going forward. And with that I will now turn it over to Jon Boscia
Jon A. Boscia : Thank you Dean and good morning. I will be discussing our operations starting with the United States and proceeding to Asia. The fourth quarter loss in the U.S. of $9 million was a significant improvement versus Colm’s perviously mentioned loss of $679 million a year ago and it gives me confidence going into 2010. Turning to Side 17, it has been one year since the business group completed strategic review to better align markets, products, distribution and service to drive sustainable top line growth. The positive sales momentum we experienced through the first three quarters of 2009 continued into the quarter, while also making significant progress on the following six strategic initiatives discussed throughout the year. First, drive sales growth in core life insurance to reduce dependency on NLG and wholly products.  Second de-risking our variable annuity business and increasing profitable sales. Third build on the strength of the employee benefits line. Fourth, upgrade our wholesale distribution force. Fifth, increase Sun Life’s name recognition in the U.S. And sixth key a tight control on operating expenses. I’ll provide some color on each of these strategic initiatives. Looking at our individual life insurance operations, total insurance sales increased 7% over the fourth quarter of 2008. Note last guarantee sales accounted for just 48% of core life insurance sales, down from 95% only two years ago. Second, the latest variable annuity de-risking occurred in Q4 and involved modifications to product design, investment allocation and price, all of which are intended to improve the product risk profile and profitability of the new business. Quarterly variable annuity sales were up 57% compared to the same period last year. Net sales for the quarter were $379 million and were $1.9 billion for the full year. After two rounds of de-risking, the product is within our target profitability range. Immediately following the product changes in late Q3, our initial sales declined in early Q4 yet we saw gradual improvement each month during the fourth quarter as the quality of our wholesaling arm and financial strength of the company prevailed. Third, sales of $323 in our employee benefits group were consistent with the record level set in Q4 '08, and this was accomplished along side of the successful introduction of a new technology system that will not only improve efficiencies but provide competitive advantage in the marketplace. Fourth, we've made great strives in strengthening our wholesaler distribution force as we were able to attract many of the best people from our key competitors. Average wholesaler productivity increased 75% compared with 2008. Fifth, in the fourth quarter, we successfully launched our first brand awareness campaign employing television, print and online advertising to increase awareness of the Sun Life financial brand throughout the U.S. Following the exploits of the Sun Life guys is a seek to make Sun Life a household name as played well on both sides of the border as well as in Asia through cable TV. Subsequent to the quarter, we signed an agreement to acquire naming rights to the stadium that plays host to the NFL Miami Dolphins as well as numerous other major sporting event including last weekend Super Bowl and the earlier Pro Bowl, which is the NFL All-Star Game. The media exposures surrounding those events will go along way towards improving our name recognition throughout the U.S. to give you an idea over the media exposure; we have an outside supplier track the number of impressions in the news media, which includes print, radio, TV and online. One impression is defined as one person seeing the name one time. From year-end until this past week, Sun Life Stadium recorded 3.1 billion media impressions, a very impressive and cost effective vehicle for generating name recognition. This level of penetration is worth an estimated U.S $18 million in advertising. Sixth, it is important to note, while we have made significant investments in building growth initiatives for the future, we maintained our focus on expense management and operational efficiency. Expenses for the year were relatively flat versus full year 2008. While credit conditions had a negative impact on earnings in the quarter and the full year, a positive movement in U.S. business is building. The strategy to align markets, products, distribution and service capabilities has served us well in this tough economic environment as well as entering 2010. Turning to slide 18 and Sun Life’s operations in Asia, the fourth quarter earnings for Sun Life Asia were $27 million a 69% increase compared to $16 million for the same period in 2008 and more than a 100% increase over the $13 million for Q3 2009. Sales in the fourth quarter were also strong up 16% compared with a year ago period. Individual life sales of $217 million were up 16% over 2008 with this sales coming from all countries, and particularly Hong Kong, China, and Indonesia. In several markets, customers continue to be cautious about investment-linked products due to the market volatility. Slower sales in those products have been compensated by the demand in our traditional insurance products indicating the value of a balanced product line. In Asia, truly the best is yet to come. We expect regulatory approval of our restructuring in China in the coming months and this change will allow us to grow faster. Sun Life Everbright had an excellent quarter in individual life sales and the bank assurance channel and group sales were higher as well. In Indonesia we are pleased with our performance during 2009 we launched our life insurance joint venture with bank CIMB Niaga and added to Shariah-compliant funds to our asset linked platform. We believe we are well positioned to capture an increasing market share in the Indonesian market. In India, the Brila Sun Life sales force has increased to 170,000 at the end of Q4 providing us with a stronger distribution network. We are aggressively growing the operation there to gain market share and solidify our position. With that I would like to turn it back to Paul.
Paul Petrelli:  Thanks John. Before we open the call to questions, I would ask each of our participants to limit him or herself to one or two concise question and then re-queue with any additional or follow-up questions. We will make every effort to take all your questions during the allotted time this morning. With that I will now ask the operator to please tell the procedures for the participants for question.
Operator: Thank you. (Operator Instructions). Your first question comes from Steve Theriault - Bank of America Merrill Lynch.
Steve Theriault - Bank of America Merrill Lynch:  Couple of questions, one for Colm. I'd be interested in hearing a bit of your outlook for credit for 2010. I know you touched on it, but how much visibility do we have for this year? Should we expect higher or lower run rate credit cost versus what we saw in the last couple of quarters of 2009? And outside of commercial mortgages, are there any other area (inaudible)?
Colm Freyne: I'll just say a few words on the expectation and I'll ask Steve Peacher to also comment. I think clearly 2009 and the later half of 2009, we continued to see an elevated rate of impairments and downgrades. As you heard in my remarks, we've also made provision on the mortgage side by adding an amount for a general provision to recognize that while performance in the portfolio continues to be quite good. So our level of non-performing mortgages is at a low level, we still continue to see some pressure there and loan to values for example continue to evidence that. So we have taken some steps we think that’s between the reserves we've taken in the actuarial liabilities and respective downgrades and the steps we've taken with impairments that we clearly have seen the heavy lifting in 2009. We do anticipate, as evidenced by the fact that our normalized earnings range of $1.4 billion to $1.7 billion still remains intact, that we will see a diminution in charges in 2010.
Stephen Peacher :  This is Steve Peacher; I would really reiterate Colm's comments. I fully expect that our credit experience will improve in 2010 versus 2009. I think one indication of that is if you look at the pace of downgrades in the portfolio in Q4, it ran at about half the rate or maybe slightly less than Q3. And I think we’re going to – that’s indicative of the trend we’re going to see in terms of both downgrades, but also credit experience. And in terms of areas of uncertainty, I think that all assets that are tied to real estate have a degree of uncertainty around them that has to be recognized. But I definitely think that we will see improvement in 2010 versus the experience in ’09.
Steve Theriault - Bank of America Merrill Lynch: Would you say the pace of downgrades for structures products was mirroring the non-structured piece this quarter?
Stephen Peacher:  I definitely think we saw an elevated level of structured product downgrades versus other sectors, in fact the number of structured product downgrades is well over half of the downgrade activity that we saw among the assets in the quarter and I think that the rating agencies are working hard to get kind of ahead of the game, I think they’ve made big progress in that regard.
Steve Theriault - Bank of America Merrill Lynch: Okay. A second one if I might. On contingent capital, could Colm or maybe Don, could you quantify, you know a couple of quarters ago the number that was being indicated was about $1 billion so, and you mentioned something about injecting capital, sorry I missed that, into your subsidiary for year end. Could we get a sense of what the contingent of excess capital level is of the holding company, net of any adjustments that you perceive?
Stephen Peacher: Ah, yes, so perhaps I can just clarify the point with respect to our U.S. subsidiary first. As at Q4 we go through the year-end process with respect to risk based capital for Sun Life U.S, we’re in the midst of that. We do expect that we will require a capital injection in order to bring that RBC to 350%, which would be at the high end of our normal range of 300% to 350%. And notwithstanding that, we believe we continue to be well capitalized at the SLF level. SLF has excess capital above the 200% MCCSR level and I think we did mention a couple of quarters ago that was approximately a $1 billion and it’s still approximately a $1 billion. Slightly less, but close to a billion.
Operator:  Your next question comes from John Reucassel - BMO Capital Market. 
John Reucassel - BMO Nesbitt Burns:  A question for Don. Don, Sun Life is in a standard here among its peers and it’s capped to be stable, but if I look at the payout ratio of a 150% in ’09, 103% in ’08 and I guess if we look at your normalized earning number and you take the mid range, it looks like about a 50%, 52% payout ratio in 2010. And then you overlay that with the foreclosure rules on the banks, which might have some strict regulations on dividends and payouts. I know your capital position is good, but what comfort can you give to investors that the level of dividend is sustainable, even in the wake of a tough earnings environment and uneven or unknown regulatory changes.
Donald Stewart:  If we look across the last several years, the aggregate of buybacks and dividends has been roughly in the 50% range. And so, looking out into 2010, a dividend only payout ratio of 50% would be consistent with our total return of money to shareholders over the last several years. As far as the continuation of the dividend, I think this question has come up in the last three calls and my answer remains the same, that the Board of Directors sets the dividend each quarter. The company is well capitalized, I did mention that we saw 2010 is looking somewhat better than the recent pasts, and so we ourselves absent any major shifts continuing to provide the dividend but it is a quarter at the time.
John Reucassel - BMO Capital Market: Just maybe Colm, just on the injection of capital, I guess how much do you think is going to be injected is it a $100 million or is a $500 million and if you didn't do the injection what would the RBC have been in the U.S sub?
Colm Freyne: Well, I think both questions really drive with the same answer. And I would caution you that because we are so focused through January on our Canadian GAAP financial reporting and MCCSR, our U.S processes continue and we're not at the point yet where we could with certainty provide you with the amount. But we do know that directionally there will be a capital injection required and we'll finalize it over the next couple of weeks.
John Reucassel - BMO Capital Market: Do you have sense – or is it $100 million or is it $500 million or --?
Colm Freyne:
-:
John Reucassel - BMO Capital Market: Just to be clear, you said you'd consolidate your MCCSR, SLF would be above 200% on December 31st, does that correct?
Colm Freyne: That's correct. The excess over 200% is about $900 million.
Operator: Your next question comes from Michael Goldberg - Desjardins Securities.
Michael Goldberg - Desjardins Securities: You described how the adjusted earnings from operations were either if they below and if not below range that you’ve indicated and said that this was due to higher new business strain, and also a liquidity higher than normal. Could you quantify those, those components and their impact on operating earnings?
Don Stewart: Well I have a, I go with that Michael and I think if you look at the source of the earnings on page 28 of the deck, you’ll see that the expected profit on the in-force net around $500 million and the impact of new business at a $115 million. If we reduce new business impact by some $30 million and we would be at around $80 million. And then the earnings on surplus at $51 million are a little bit at the low end of where we would expect some specific items in the quarter and we might see an level there that might be more like $80 million for the quarter, you could annualize that. If you take those numbers I think you arrive at an amount that would be within the low end our range. I think the danger here would be to try to extrapolate from one quarter where there is, there are some moving parts.
Michael Goldberg - Desjardins Securities: How much, if you want to put it excess liquidity, do you actually have over and above what you are expectation would have been?
Don Stewart: Well I think at the total company level, you can see that we are at some $12 billion and I might ask Steve Peacher to make a comment on our investing plans, but $12 billion compares to a much lower level before the credit crisis and economic conditions turned on us. So we would expect to get that $12 billion invested over time.
Steve Peacher: I think of the $12 billion of cash certainly there is a run rate level of cash, so in terms of excess cash we are probably around $5 billion or so level give or take and I, we are – had a pace which I think that will get fully invested over the next couple of quarters depending on market conditions.
Michael Goldberg - Desjardins Securities: Just turning to couple of risk metrics that we've talked about in the past, could you give us the amount of bonds now over 20% below cost for greater than 6 months.
Donald Stewart: The amount this quarter is $1.7 billion this is the 80% in 6 months.
Michael Goldberg - Desjardins Securities:  That’s right and also the amount of at risk variable annuity guarantees at year end.
Paul Petrelli: Michele its Paul, it's about $1.3 billion for the total company.
Operator: Your next question comes from Eric Berg - Barclays Capital.
Eric Berg - Barclays Capital.: I just wanted to clarify on slide 7, where you are showing the adjusted earnings from operations in reconciling what you reported. Should we think of the 344 as your estimate of what the corporation would have earned if the assumptions underlying your original guidance for 2010 give it in the September quarter, if those assumptions had been realized, is that what the 344 is essentially?
Donald Stewart: Yes, the 344 is to provide you with apart from the actual earnings for the quarter to the amount that we connected on at third quarter the 1.4 to 1.7 so adjusting for the various items that would be outside of the normal expectations which are embedded in the assumptions underpinning the normal operating earnings level.
Eric Berg - Barclays Capital: Going back to the penalty that the earnings suffered as a result of liquidity and the adjusted earnings happened as a result of liquidity and strain, was it that you wrote more business than you expected, which depressed the 344 number? Or was the strain on the amount of business that you wrote greater than you expected, and if it were the ladder, why was the strain greater than you would have expected? Are you paying higher commission than you expected? What exactly is the issue with this strain?
Colm Freyne:   Well, I'll have a quick comment on the level of strain. So the point here was to say that the $113 million of strain in the quarter is above the level that we would anticipate in a quarter. And that is going to depend on sales levels and volumes in a particular quarter, so we’re really trying to provide you with an indication here that that is a higher level of strain. So there’s some seasonality affected with that. But in terms of specific actions that we’re taking and continue to take to ensure that margins on products are strong and the strain is kept to a minimum, I would ask Jon perhaps to comment.
Jon Boscia: Eric, it was primarily due to higher than anticipated sales that we had in Q4, was a good quarter for us. It was primarily related to life insurance, and the seasonality of life insurance is such that Q4 is bigger than the other 3 quarters in all typical years. It wasn't more strain per sale than what was expected as much as it was the good news of more sales.
Operator: Your next question comes from André-Philippe Hardy - RBC Capital Markets.
André-Philippe Hardy - RBC Capital Markets:  Yeah, I have two questions. Well, the first surrounds the current process with AUS fee on segregated funds and the guarantees there, can you update us where you're at in this process?
Donald Stewart:  André, it's Don. I am afraid we can't say anything about matters relating with our regulators other than to observe that it will be some time before we see final capital rolls for the life insurance sector.
André-Philippe Hardy - RBC Capital Markets: So you are not expecting a resolution in upcoming quarters?
Donald Stewart: Certainly, I think it will take longer than one quarter and perhaps we won't see anything until the end of the year. 
André-Philippe Hardy - RBC Capital Markets: Okay. Now that in itself is helpful. Thank you for that. For a second question. If we go back to a year ago, there were, and I'm speaking from memory, but roughly $160 million of, if you will excess credit reserves that helped somewhat cushion the 2009 below of credit. Do I understand correctly the similar push in for the year ahead is $42 million?
Leslie Thomson: This is Leslie Thomson, $42 million was the release of the fourth quarter excess provision. We still have double our normal default provisions for mortgages during 2010.
André-Philippe Hardy - RBC Capital Markets: But let me ask maybe differently. Last year there was $40 million quarterly benefit from having taken unusually large provisions at the fourth quarter of last year. What's that benefit next year?
Donald Stewart: Well I think there is the piece that Leslie mentioned, that we have put aside for mortgages in respect to 2010, but it’s not at the same level as the amount for 2009, because that included the entire portfolio and then we've also commented on the fact that on the opposite side we've taken a general allowance, which amounts to $34 million after tax in respect of mortgages which we took this quarter.
Operator: Your next question comes from Mario Mendonca - Genuity Capital Markets. 
Mario Mendonca - Genuity Capital Markets: One quick point to clarify first. The charges on CMBS and RMBS, the impairment charges, last quarter you suggested that there was an outside consultant that you were using to help with the marks. Was there any sort of clean up this quarter on those marks associated with using that outside consultant?
Stephen Peacher: This is Stephen Peacher. No we brought in an outside -- it is true, we brought an outside consultant really and the intent it was really just gain as much information as we could about complicated assets in a stress environment, but that really validated the models and the approach we’ve been taking and there were no changes to loses estimates or impairment reserves as a result of that analysis.
Mario Mendonca - Genuity Capital Markets:  Another quick question, maybe. I’m not sure how quick it will be. The expected profit line, the move from Q1 ‘09 to Q2 ‘09 was an important one going from $426 million to $536 million, so more than a $100 million. Could you help us understand what caused that move from Q1 ‘09 to Q2 ‘09 and now this subsequent decline, the decline from $543 million in Q3 ‘09 to $504 million in Q4 ’09? That’s obviously -- these are important numbers to the overall earnings if you could help us understand those two changes?
Colm Freyne:  Well, I don’t have all of those analysis up my finger tips, but I’ll comment on the change year-over-year in terms of the expected profit. So a year ago… 
Mario Mendonca - Genuity Capital Markets:  Colm, I’m referring to quarter-over-quarter though like if you could think about Q3 ‘09 to Q4 ’09? Like why that drop why the $40 million drop from one quarter sequentially?
Paul Petrelli:  Mario, it’s Paul Petrelli speaking. I think what you are seeing there in the expected profit line is, if you look at the full year expected profit emergence, you would have seen the expected profit numbers in the second quarter and third quarter of this year increase significantly. And that would have been a function of the reserves that we built up as the markets were declining in our segregated fund and variable annuity businesses and so at lower market levels more of those reserves would have unwound as expected profit, and as markets have increased above our expected 2% a quarter rate more of that reserve unwinds as experience gains. So the amount left to unwind is expected profit declines and I think that's the effect that you're seeing there.
Mario Mendonca - Genuity Capital Markets:
 :
Paul Petrelli: I think Mario, the 500 is a reasonable estimate of the expected profit and it will vary. It depends again on another factors, so the amount of assets under management at MFS, for example, to the extent that that continues to grow with market improvements and with the sales activities that will also contribute positively to that amount.
Mario Mendonca - Genuity Capital Markets:
,:
Paul Petrelli: Yeah, there's a portion that comes through expected profit as a result of that, yes you're correct.
Operator: Your next question comes from Robert Sedran - National Bank Financial.
Robert Sedran - National Bank Financial: My question is on the $1.4 billion to $1.7 billion range and I guess sort of following up on a couple that we had it's a fairly wide 20% this range that I'm hoping you can provide some sense of what would happen to put you at the bottom end of that range versus what might push you to the upper end of that range. And are any of these inputs externally absorbable and just I may have misheard in earlier answer but does that range include or exclude the impact of credit cost. my understanding is it they were excluded from that range?
Colm Freyne: Yes, there's a normal level of credit embedded within that range, but credit experience beyond what we would normally estimate would not be included, so very adverse credit would not be included but in recent in terms of why we have expressed it as wide range, recall that when we developed this a quarter ago, we explained some of the head wins that we see out there from an economic perspective. While the past quarter Q4 was a little positive in terms of some of the news coming out on the economic front and markets were up certainly this, start of this year, has maybe undone some of that and we’ve heard a lot of concerns about sovereign debt in Europe and other economic head win. So when we think a range expressed in this fashion, it’s prudent that this time given the wide variety of economic outcomes that we might see over the course of next year or so.
Robert Sedran - National Bank Financial: So it’s fair to assume, it’s fair to watch that the broader macro trend to figure which end of that range you might be biased towards in other words?
Don Stewart: I think that’s right and credits continues to be a head win, we’ve talked about that and market volatility continues, equity markets have continued to exhibit some volatility.
Operator: Your next question comes from Doug Young - TD Newcrest.
Doug Young - TD Newcrest: Just two questions, the first is your, you’ve given, you’ve dropped your ROE objective for three to five years from 15% down to 12% to 14%. I’m curious just if you can talk a bit about why I think I’d probably understand, but if you can talk a bit about why. The second part of that question is from where we stand today in Q4, looking at Q4, what gets you to a 12% to 14% ROE, I mean what are some of the drivers that really have to happen for you to achieve that? And I just have a follow-up question after that for John.
Don Stewart: Yes, on the medium term objectives, you are quite right, we decreased the objectives from previously 13% to 15% over three to five years, to 12% to 14% over the timeframe and certainly there are some areas that will help us as we go forward I think that, to get to the high end of that range will take some effort and organic growth is not necessarily the way that one would achieve that. But certainly the factors that we talk about around the equity market levels and the credit environment can be positive, very positive contributors to achieving that range if the world unfolds in a reasonable fashion and high levels of assets under management will help. So those will be some of the factors, the reinvesting our cash, higher cash levels that we talked about, that will also contribute, lower levels of new business strain as we continue to ensure that products are designed and priced appropriately. All of these will contribute. We have the Lincoln transaction, which we’ve closed on Q4 in the UK that will help in earnings in 2010. So there are number of positives but there are certainly number of headwinds as well.
Doug Young - TD Newcrest: If things evolved as you expect in your best estimates, is that what drives a 12 to 14%, if things just evolve like you expect, is that what we should expect, 12 to 14%?
Donald Stewart: Well I think like any objective it will require work and management's attention to ensure we arrive there but I think that we will develop and have plans to continue to prove the efficiency and effectiveness of the business.
Doug Young - TD Newcrest: Obviously the U.S. division is a big focus and the annuity division again is where lot of the noise came through in credit, I guess the same type of question, what does it takes for the U.S. division to start to produce what you would consider normal result.
Jon Boscia:  Yes Doug, it’s a excellent question. When we look at the annuity division inside of the U.S, we have to be mindful that it's a single number that is reported that comprises both fixed annuities as well as variable annuities. And the fixed annuity side is where the challenge has been from both the credit perspective as well as much of the volatility. We did announce earlier in 2009 that the fixed index annuity business was going to be de-emphasized; the fixed annuity business would be transitioned to an opportunistic business. And we really have to manage our way out of the fixed annuity business in the credit exposures that we have, but we can't do that overnight. We have a large block and it's on the books for the next several years. And we will do the best we can in working with the investment area to continue to provide shelter from downgrades and credit impairments. And we will continue to de-emphasize that business.
Operator: Your next question comes from Darko Mihelic - Cormark Securities.
Darko Mihelic - Cormark Securities:  Just want to circle back here on the question that was asked earlier on the call. And I apologize for beating a dead horse but judging from some of the emails I'm getting there’s some interest in this question. And again it goes back to your capital position and your ability to pay out a high dividend. And the question revolves around I guess given that we know capital standards are going to change and it’s going to become more difficult. And given that we know a 50% pay-out from earnings, in the past it might have been appropriate in the era where rates were stable and regulators, rating agencies really weren’t at all being aggressive with insurance companies. The question really revolves around why is it a quarterly decision to look at your dividend? Shouldn’t we be thinking a little bit longer term here about capital generation and really whether or not the 50% is appropriate in today’s environment? 
Donald A. Stewart: Thank you Darko. It’s Don Stewart. Just because I have emphasized that the decision is made each quarter, I wouldn’t want anyone to have the impression that our horizon is 90 days. It’s a lot longer than that. We do look out, but we make the decision quarter-by-quarter, because it is the prudent thing to do in these economic conditions. I think your point about the future direction of the business and some of the macro forces at work are very valid, nonetheless, it is our view that the dividend for the fourth quarter and being decided for the first quarter is a reasonable level based on our confidence for the year 2010. But I will continue to emphasize that, that decision will be made a quarter at a time. I also emphasize that we are looking out for some of the issues that you identified as well as many others and indeed look out well beyond December 31, 2010.
Darko Mihelic - Cormark Securities: Fair enough. I guess just a followup question. How does one appropriately price some product with so much uncertainty regarding your capital requirement? This question is really aimed at I think at Sean, for some of the U.S. products are being sold right now where you were gaining market share?
Donald Stewart:  Yeah, Darko again an excellent question, I think one of the aspects that we have to recognize is that the U.S. regulatory environment generally has lower capital requirements than what we see in Canada, however the amount of capital that we assigned to the products are consistent with C GAAP rather than U.S. GAAP there. So we are already pricing our products for an assumed higher level because we do believe that ultimately U.S. GAAP and Canadian GAAP are going to converge and become much closer and some of the changes taking place and by the NAIC will force U.S. companies to have levels more consistent with what Canadian companies are and I’m happy to say that we’re well into that curve.
Operator:  Your last question comes from John Reucassel – BMO Capital Market. 
John Reucassel – BMO Capital Market.:  Just a question on the sensitivity I guess slide 29 of the package on the interest rate, it look like you just in case I know what you’ve done effectively eliminated outside potential of rates to move up, but your sensitivity to decrease in rates is a little less, but about the same. Could you describe what’s happened to the course of the quarter there?
Michael Stramaglia: That’s Michael Stramaglia here. Joe over the course of the quarter as far as of our regular asset liability management of review and rebalancing we did eliminate some of the reduced the level of duration mismatch in our couple of our individual life portfolios in both Canada and the U.S and that's contributed to the reductions that you're seeing here. I think if you actually compare these sensitives what we had in Q3, they've come down more or less the same amount for both the 1% increase and 1% decrease sensitivity. So it's kind of moving in a symmetrical level in terms of the impact of that that we're balancing activity over the quarter.
John Reucassel – BMO Capital Market: So you're running a mismatch, the asset durations were lower than the liability duration?
Colm Freyne: Yes, effectively when you got exposure to declining interest rates its, because your liabilities are -- exposure to declining rates is because the liabilities are indeed shorter than the asset. And so we were adding duration over the course of the quarter in order to reduce that sensitivity. Keep in mind that for given the structure of our guarantees, there's a lot of embedded optionality in these products. So that is always going to be exposure to downward interest rates shocks as those minimum interest guarantee is coming for the money. So that's inherent part of the business and but we do manage that to within steps by tolerances and ranges and as a result -- that they've just ongoing rebalance and reviewing that activity in Q4, the sensitivities were reduced in a symmetrical fashion.
John Reucassel – BMO Capital Market:
 :
Colm Freyne: These particular sensitivities focused on movements and risk free rates. Credit spread themselves represent another source of risk and sensitivity and those going to operate in different ways depending on the particular line of business and whether you happen to be generating positive or negative cash flows when those spread changes happen. So generally if you are generating positive cash flows and spreads come in, it means that you are putting money back out in lower interest rate environment. If you are generating negative cash flows in the given segment and spreads roll out then you are having to liquidate assets to meet those obligations at a discount. So there is a number of dynamics there and of course when you have interest rates on a risk free basis moving at the same time, the spreads are moving with lines of business, with different cash flow signatures you can get also to different outcomes.
Donald Stewart:
 : With that I’d like to thank all of our participants on the call today. If there are any additional questions we’ll be available after the call and should you wish to listen to our rebroadcast it will available from our website later this afternoon. With that I’ll tell you thank you and good day.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for your participation. You may now disconnect your lines. 